Operator: Good day, and welcome to AIG's First Quarter 2025 Financial Results Conference Call. This conference is being recorded. Now, at this time, I would like to turn the conference over to Quentin McMillan. Please go ahead.
Quentin McMillan: Thanks very much, and good morning. Today's remarks may include forward-looking statements which are subject to risks and uncertainties. These statements are not guarantees of future performance or events and are based on management's current expectations. AIG's filings with the SEC provide details on important factors that could cause actual results or events to differ materially. Except as required by applicable securities laws, AIG is under no obligation to update any forward-looking statements if circumstances or management's estimates or opinions should change. Today's remarks may also refer to non-GAAP financial measures. The reconciliation of such measures to the most comparable GAAP figures is included in our earnings release, financial supplement and earnings presentation, all of which are available on our website at aig.com. Following the deconsolidation of Corebridge Financial on June 9, 2024, the historical results of Corebridge for all periods presented are reflected in AIG's consolidated financial statements as discontinued operations in accordance with US GAAP. Finally, today's remarks related to net premiums written and net premiums earned are presented on a comparable basis, which reflects year-over-year comparison on a constant dollar basis and adjusted for the sale of the global personal travel and assistance business as applicable. We believe this presentation provides the most useful view of our results and the go-forward business in light of the substantial changes to the portfolio since 2023. Please refer to Pages 26 of the earnings presentation for reconciliations of such metrics on a comparable basis. With that, I'd now like to turn the call over to our Chairman and CEO, Peter Zaffino.
Peter Zaffino: Good morning, and thank you for joining us today to review our first quarter 2025 financial results. AIG's overall performance in the quarter was exceptional and we continued to make significant progress on our strategic, operational and financial objectives. We had a very busy start to the year. And while it's hard to believe, just 30 days ago, we hosted our Investor Day. We're incredibly grateful for the positive engagement and support from our colleagues and many stakeholders and appreciated the opportunity to share our journey with them. For my prepared remarks, I will start with an overview of our Investor Day, including what we intend to achieve, some observations from the meeting, and what we've learned since. Second, I will highlight our first quarter financial results. Third, I want to provide a spotlight on our business strategy and long-term view of India, a business that we briefly touched on at our Investor Day. Fourth, given the widespread interest, I will offer a few observations on the impact of tariffs. And last, I'll provide an update on our progress toward our financial targets that we outlined at our Investor Day. Keith will then provide more detail on our financial results, and Don Bailey and Jon Hancock will join us for the Q&A portion of the call. Beginning with Investor Day, our objective was to demonstrate the incredible progress the company has made over the last seven years and why we believe we're so well-positioned for the future. We shared how we established an underwriting culture of excellence, substantially reduced underwriting exposure, controlled volatility, structured the company for the future, refreshed our purpose and values, developed a world-class end-to-end operating structure, digitized end-to-end processes, developed a robust data hierarchy, and retired over 1,200 applications while migrating to the cloud. We discussed how we created a lean parent company and strengthened our balance sheet while executing a disciplined capital management strategy, which will enable AIG to have maximum strategic and financial flexibility for the future. We provided detail on our strategy to deploy GenAI end-to-end, and to demonstrate how the advancement in adoption is making a difference across our business to drive future growth, and that was on full display. I'm very grateful to our world-class partners, Alex Karp of Palantir and Dario Amodei of Anthropic, for joining Sara Eisen and me on stage to showcase and validate our strategy. And while they are very entertaining guests and have better things to do with their time than show up at AIG's Investor Day, they felt compelled to speak to our stakeholders about how they fully endorse AIG's strategy. It was a very important moment for our company. We demonstrated the breadth and depth of our global portfolio with $24 billion of net premiums written, which enables us to leverage both our diverse geographic footprint and strong product offerings to solve our clients' risk needs. We highlighted what a thoughtful and carefully planned reinsurance strategy can do for company over time, showcasing key structures of our portfolio and providing an introduction to our special purpose vehicle backed by Blackstone, which is an important part of our strategic evolution. Our stakeholders came away from the event with a much clearer understanding of our strategic direction, the deep expertise within our company, our differentiated approach to GenAI and our ambitious yet achievable financial targets and global growth opportunities. Inside the company, there's a sense of confidence and pride. Our Investor Day gave our colleagues the opportunity to see their hard work recognized in an impactful way, which has generated energy and engagement across the organization and we're excited to take this momentum forward. If I had to choose just one key takeaway from our Investor Day, it is that AIG is in every way a different company. Turning to our financial results, against the challenging geopolitical and macroeconomic environment, we made excellent progress towards our long-term strategic and financial goals, while delivering exceptional underwriting results, effectively manage volatility, while reducing expenses. In the first quarter, adjusted after-tax income was $702 million or $1.17 per diluted share. Building on our momentum, we had another quarter of strong premium growth. Net premiums written were $4.5 billion, an increase of 8% year-over-year on a comparable basis, led by 10% growth in Global Commercial. North America Commercial Insurance net premiums written grew 14% year-over-year. Lexington grew 23%, led by Lexington Casualty, which grew 27%. It's worth noting that Lexington submission growth continued in the first quarter, increasing 30% year-over-year, and that is following an increase of over 50% in the first quarter of 2024 when compared to 2023. Simply an outstanding result. This increase in submission activity was primarily driven by middle market casualty and property, which together represents two-thirds of the total submissions received. Glatfelter contributed 16% growth and Retail Property grew over 40%, almost entirely driven by the significant enhancements to our reinsurance structures. International Commercial Insurance net premiums written grew 8% year-over-year on an FX-adjusted basis, driven by property at 35%, largely as a result of enhanced reinsurance structures. And Marine grew an impressive 17%. Turning to expenses, our general insurance expense ratio decreased to 30.5% in the first quarter compared to 31.8% in the prior year quarter. The divestiture of our travel business was the largest contributor to this improvement, accounting for 110 basis points. The remaining 20 basis points of improvement came from AIG Next initiatives. This is very impressive when you consider that General Insurance absorbed $78 million of additional expenses that were booked in Other Operations in 2024. Other Operations general operating expenses were $85 million in the quarter. The accident year combined ratio, as adjusted, was 87.8%, the best first quarter result for AIG since the financial crisis. The prior year quarter was 88.4%. The calendar year combined ratio was 95.8% for the quarter, which included $520 million in catastrophe losses, driven by the California wildfires, which came in at $460 million. The combined ratio represented 9.1 loss ratio points and is a testament to our strategy for managing volatility. While industry losses from natural catastrophes are the second highest for the first quarter of the year on record, we expect our net retained catastrophe losses to be within expectations for 2025, largely based on our reinsurance structures. If you apply our current loss projections for the wildfire catastrophe to our aggregate cover, we will have approximately $35 million net of annual aggregate deductible remaining for all other perils in North America, excluding wind and earthquake, and approximately $385 million net left for all perils, both subject to a $50 million each and every loss deductible for the rest of this calendar year. We also continue to have significant property catastrophe occurrence limit available. Overall, the market remained favorable in the first quarter, particularly in segments with very good underlying fundamentals. Keith is going to cover rate in more detail in his remarks, but I wanted to provide some perspective. For North America, the rate increases in the quarter were led by excess casualty at 16%. In the last five calendar years, excess casualty has had double-digit rate increases each year with cumulative rate above loss trend. Gladfelter had a 6% rate increase. These increases were offset by Financial Lines, which decreased 5%, Retail Property, which decreased 7%, and Lexington Property, which decreased 10%. In Financial Lines, we have the benefit of a highly diversified business by product and segment. This enables us to position the portfolio for the best risk-adjusted returns even in a competitive market. To further outline, we have meaningfully reduced our excess capacity, where pricing is increasingly commoditized. We're focused on our primary business where we have a differentiated offering and a leadership position. Our Financial Lines portfolio has gone from representing 30% of North America Commercial net premiums written in 2021 to representing 19% of the portfolio today. Next, let me give some context on property rate. Over the past five years, we have had cumulative rate increases of 113% in Retail Property and 96% in Wholesale Property. Pricing continues to be above our technical view, nonetheless, we continue to be very disciplined and we'll monitor market conditions throughout the year. In International, the environment was more balanced. Casualty had a 7% rate increase, Property had a 2% rate increase, offset by Global Specialty and Talbot, which decreased 1% and 4%, respectively, and Financial Lines, which decreased by 3%. And please recall that we report rate on gross premiums written. And because many of our lines are heavily impacted by reinsurance in the first quarter, there's not a direct correlation to net premiums written, which are lower in certain businesses, such as our Global Specialty business. Turning to capital management, we returned $2.5 billion of capital to shareholders in the first quarter. This included $2.2 billion of share repurchases and $234 million of dividends. We ended the quarter with a debt to total capital ratio of 17.1% and parent liquidity of $4.9 billion. As I announced on Investor Day, as of April 1, the AIG Board of Directors increased our share repurchase authorization to $7.5 billion, inclusive of the outstanding authorization amount, of which approximately $7.1 billion remains available. Additionally, the Board approved a 12.5% increase in our quarterly dividend of $0.45 per share yesterday. We expect to repurchase a total of $5 billion to $6 billion of shares in 2025, subject to share price and market conditions, which should bring us to a range of 500 million to 550 million shares outstanding over time. Now, I'd like to transition to discuss one of our strategic partnerships. While we covered a lot of content on Investor Day, one part of our business that we did not address in any detail is Tata AIG. With this in mind, I'd like to share some observations on the rapidly growing market in India and insights about our joint venture with the Tata Group. India as a country has made remarkable progress over the last decade. Over that time, the economy has grown from the 10th largest to the 5th largest economy in the world and is likely to become the third largest economy after the United States and China by 2030. Real GDP is estimated to grow approximately 7% over the next two years with nominal GDP growing nearly two times higher. The changing demographics in India are well known, but worth highlighting. In a country of nearly 1.5 billion people, half of the population is below the age of 30. The middle-class is projected to more than double by 2030 with some of the fastest growth happening in Tier-3 and Tier-4 cities. Pivoting to the insurance industry, the general insurance market in India is over $35 billion in gross premiums written as of 2023 and had a compound annual growth rate of around 11% over the last five years. We expect the market will sustain this type of growth through 2030. And there's a massive opportunity for growth, given the changing dynamics. In India, non-life insurance penetration is still relatively low at 1% of GDP. In contrast, the United States is at 9% of GDP. Our presence in India began 25 years ago when we partnered with Tata Group to establish a joint venture, Tata AIG. The India insurance market opened to private insurance companies and direct foreign investment in 2000. At the time, the maximum allowable foreign investment was 26%, which is what we currently hold today. Prior to 2000, India's insurance market was dominated by public sector insurance companies, which had 100% market share. Opening up the market to private insurance and foreign direct investment dramatically shifted India's insurance landscape. Today, private sector insurance companies represent 60% of the non-life market. While India offers tremendous opportunity, it's a complex and highly competitive market. For foreign companies, it's important to choose the right partner, a company with deep and broad knowledge of India and one with a strong reputation. For AIG, there is no better choice than Tata Group, one of the highest quality global companies. Tata Group operates 30 companies in over 100 countries across diverse industries. Its 26 publicly listed enterprises have a combined market cap of $365 billion with over 1 million employees. Over the last decade, Tata Group has been consistently ranked as one of India's most valuable brands. Tata AIG is highly respected and is ranked as the #2 private insurer in the commercial insurance and motor insurance sectors. It serves 27 million customers with 8,500 employees and leverages 85,000 captive agents operating across the country. Tata AIG had $2.1 billion of gross premiums written in 2024 and its mix of business is approximately 75% personal insurance and 25% commercial insurance. Tata AIG is a high-growth business. From 2020 to 2025, we had a compound annual growth rate of 20%, outpacing the market. Through 2030, we expect to continue to grow at the same compound annual growth rate, fueled by India's accelerating economy, rising insurance adoption and Tata AIG's market-leading brand and reputation. The business has exceptional technology and data capabilities that enabled it to scale rapidly and support the continued ambition for accelerated growth. Tata AIG's products and services are digital-first with clients and agents enabled by technology at every stage of the value chain, providing a complete digital customer experience, which is what clients in India expect. Additionally, Tata AIG benefits from access to AIG's multinational network with AIG supporting the joint venture's domestic multinational corporate clients. In close partnership with Tata Group, we're prepared to significantly invest in growth organically and possibly inorganically, should opportunities present themselves. And I expect this business to continue to scale faster than any other geography in our portfolio. There's been a lot of discussion about tariffs and I'd like to share a perspective, understanding that there is still significant uncertainty around the topic of tariffs. To start, let me provide some relevant facts. First, there are only seven countries worldwide that export more than $100 billion to the United States. And China, Canada and Mexico are the only countries that export over $250 billion. When looking at a country's level of exports to the United States as a percentage of their total exports, Mexico is 79%, Canada is 74% and China is less than 20%. Altogether, tariffs create uncertainty, which may lead to lower levels of transactional activity in the near term, impacting certain commercial businesses, but it's premature to predict any specific outcomes related to these emerging macro trends. The greatest challenge for companies is understanding the real impact of tariffs and how they are changing and their implications. There is a complexity not only with tariff policies evolving, but also with the potential impact on supply chains. It's also important to consider the implications to loss costs and inflation. To help parse through this complexity, let me share a property example. Typically, in a high net worth claim and, of course, it's subject to the particular type of loss, approximately 60% of the loss would be for rebuilding costs, 30% for content and 10% or thereabouts for allocated loss adjustment expense. When considering materials, such as lumber, floor coverings, windows, steel, marble or granite, you need to take into account increased inflation rates. Then, you should consider which of these items are imported. For example, Canada represents roughly 85% of all US softwood lumber imports. This added dimension further complicates the calculation of future loss costs. Additionally, if there's another major catastrophe in 2025 beyond the January wildfires, we could see demand surge, supply constraints and further inflation, which may also lead to extended business interruption. Lastly, insurance companies need to monitor the effects of sales, payroll and other factors to calculate the potential impact on future premiums, if any. We will continue to monitor the implications for our business as more information becomes available. Before I close, I want to touch on the financial targets that we announced on Investor Day. These are multi-year goals, so I'm not going to give updates every quarter, but I did want to provide some insight. Operating EPS is on track, and the key drivers for earnings growth remain favorable. We produced strong top-line growth and managed volatility in a very heavy catastrophe quarter. We are on our way to fully replacing Corebridge earnings by 2026 and we expect to achieve a 20%-plus earnings per share compound annual growth rate over the next three years. We continue to make progress towards our goal of achieving 10% to 13% core operating ROE. Our first quarter core operating ROE was 7.7%, which was impacted by catastrophe losses. We expect to meet our 2025 objective of a 10%-plus core operating ROE as we outlined on Investor Day. We've made terrific progress towards our goal of achieving an expense ratio below 30% for General Insurance with the first quarter coming in at 30.5%. We will continue our significant focus to maintain an expense structure that aligns with the size of the company that we are while investing in our data and digital strategies. And finally, turning to our dividend, we announced our intent at Investor Day to grow the dividend per share by 10%-plus in 2025 and 2026. Yesterday, the AIG Board of Directors approved a 12.5% increase in our quarterly dividend of $0.45 per share starting in the second quarter of 2025. In summary, we've entered an exciting new chapter for AIG and we're executing on all aspects of our strategy. With that, I'll turn the call over to Keith.
Keith Walsh: Thank you, Peter, and good morning. Starting with General Insurance, overall results were strong and reflected excellent underwriting and disciplined expense management. Adjusted pre-tax income, or APTI, was $979 million, a decrease of $379 million from the prior year quarter, due to higher catastrophe losses, primarily related to the California wildfires. Underwriting income was $243 million, down $353 million from the prior year quarter. Results reflect higher catastrophe losses, partially offset by favorable prior year development and continued improvement in accident year underwriting. First quarter General Insurance gross premiums written were $9 billion, an increase of 3% from the prior year, and net premiums written were $4.5 billion, an 8% increase. General Insurance combined ratio was 95.8% compared to 89.8% in the prior year quarter and included 9.1 points of CAT losses versus 1.9 points in the first quarter of 2024. Prior year development net of reinsurance was $64 million favorable, up from $22 million favorable in the prior year. This quarter included $31 million of ADC amortization and $33 million of favorable development, largely related to favorable actual versus expected loss experience in the US Property and Global Specialty lines. Looking ahead to the rest of 2025, the ADC amortization is expected to be approximately $31 million each quarter compared to $34 million a quarter in 2024. Our Global Commercial business had a terrific start to the year. Net premiums written grew 10%. We produced a combined ratio of 91.2% despite elevated CAT activity, and our expense ratio improved 40 basis points from the prior year quarter, an excellent result. North America commercial calendar year combined ratio was 93.9%, which included 12 points of CATs. The accident year combined ratio, as adjusted, was 84.3%, an improvement of 160 basis points from the first quarter of 2024. The expense ratio declined a full 2 points, driven by a combination of AIG Next benefits and increased operating leverage, partially offset by higher corporate expense allocations, as the company implemented its lean parent structure. The accident year loss ratio was 62.2% for the quarter, a 40 basis point increase year-over-year due to changes in business mix. Turning to International Commercial. The calendar year combined ratio was 88.2%. This is the eighth consecutive quarter of a sub-90% combined ratio, an outstanding result. The accident year combined ratio, as adjusted, was 85.4%, which increased 240 basis points year-over-year. This was primarily driven by a 130 basis point increase in the expense ratio as a result of lean parent allocations. The accident year loss ratio was 54.6%, a 110 basis point increase year-over-year, reflecting business mix and increased operating costs from lean parent implementation. Turning to Global Personal. The combined ratio was 107.9%, while the accident year combined ratio, as adjusted, improved 140 basis points year-over-year to 95.6%. Excluding the divested travel business, the accident year combined ratio improved 110 basis points, owing to a 190 basis point improvement in the accident year loss ratio. This was driven by underlying improvement in our US high-net-worth book, benefiting from a combination of rate over trend, business mix and underwriting actions. This was partially offset by a 70 basis point increase in our acquisition ratio, which we expect to unwind and improve over the course of 2025 as reinsurance and improved commission terms with PCS earn through. As we outlined at Investor Day, we expect to drive financial performance in Global Personal by improving the combined ratio by 500 basis points over the next three years towards our 94% target. Moving to rates, where Peter already provided some perspective. For the first quarter, excluding workers' compensation and Financial Lines, Global Commercial line's pricing, which includes rate and exposure, increased 4%. In North America Commercial, renewal rate increased 1% year-over-year. If you exclude workers' compensation and Financial Lines, renewal rate was up 2% with overall pricing up 4% year-over-year. In International Commercial, overall pricing was up 2% or up 4% excluding Financial Lines. This is an improvement versus the fourth quarter, where pricing was flat. While International Commercial overall pricing is slightly below loss cost trend, excluding Financial Lines, pricing and loss cost trend are roughly in line. Moving to Other Operations. First quarter adjusted pre-tax loss was $70 million, a significant improvement versus the prior year quarter of $205 million, reflecting substantially lower general operating expense, higher net investment income and lower interest expense. As Peter mentioned, we have achieved our Other Operations run-rate GOE target at $85 million in the first quarter and are on track for $350 million of annual expenses in 2025. We are now a much simpler company with a lean parent corporate structure that supports our three operating segments. Turning now to investment income. Our investment portfolio is high-quality and well-diversified with durations that are closely matched to our liability profile. It's predominantly comprised of investment grade fixed maturity securities, helping to minimize exposure to short-term market swings. First quarter net investment income on an APTI basis was $845 million, an increase of $4 million year-over-year. Net investment income is comprised of two categories: our core portfolio, which sits in General Insurance and income from parent liquidity and Corebridge dividends, which sits in Other Operations. First, on General Insurance. Net investment income was $736 million, down $26 million or 3% year-over-year, owing to lower income from other invested assets and alternative investments, partially offset by higher income from the fixed maturity portfolio, as we benefit from improved reinvestment rates. Other invested assets had a loss of $18 million compared to income of $38 million in the first quarter 2024. One variable worth noting is how we account for our joint venture with Tata Group. We include 26% of Tata AIG's net income in other invested assets, which also includes mark-to-market changes in their investment portfolio, which reflects capital market movements in India. It is reported under the equity accounting method with a one quarter lag. Based on our current view, we expect General Insurance total net investment income to be up modestly in the second quarter versus the $736 million in the first quarter. The gains in the fixed maturity and loan portfolio are likely to be offset by lower income from other invested assets and alternative investments. During the first quarter, the average new money yield on the fixed maturity and loan portfolio was 4.56%, roughly 135 basis points higher than sales and maturities in the quarter. The annualized yield excluding calls and prepayments was 4.11%, a 24 basis point increase year-over-year or 19 basis points sequentially. Turning to Other Operations. Net investment income was $108 million, consisting of income from our parent liquidity portfolio of $77 million and Corebridge dividend income of $31 million. Considering current interest rates and lower liquidity balances as we repurchase shares, we expect income from our parent liquidity portfolio to be around $50 million in the second quarter, subject to market conditions. Turning to tax. The adjusted effective tax rate for the first quarter was 22.8%, which included a net benefit from discrete items. As we stated on our fourth quarter earnings call, we expect the adjusted tax rate for the full year 2025 to be in line with the full year 2024 level with slight variations quarter to quarter. Moving on to the balance sheet. We continue to have strong financial flexibility. We believe this positions us well to execute on our strategic priorities while navigating evolving market conditions. Book value per share was $71.38 at quarter-end, up 10% from March 31, 2024, mainly due to the favorable impact of lower interest rates on investment AOCI. Adjusted tangible book value per share was $67.96, down 8% from March 31, 2024, primarily due to the impact of the Corebridge deconsolidation. At the end of the first quarter, we had a debt to total capital ratio of 17.1%. In conclusion, we had a strong first quarter. We expect to deliver on our target of 10%-plus core operating ROE in 2025, while making steady progress on the financial targets we outlined at our Investor Day. With that, I will turn the call back over to Peter.
Peter Zaffino: Thank you, Keith. Michelle, we're ready for questions. Thank you.
Operator: Thank you. [Operator Instructions] Our first question comes from Mike Zaremski with BMO. Your line is open.
Mike Zaremski: Hey, good morning. Thank you. I have a -- maybe a high-level question on kind of the transformation to using GenAI, et cetera. I've got a lot of questions post Investor Day on it that I'm hoping you can help out with. So, would -- I'm just kind of curious like the process for an insurer to transform using AI. Is there a high cost of entry? Does it take a long time to get your data on the right form to be able to adopt? And maybe you can kind of just talk to whether -- what you're doing is table stakes or you feel you're a first-mover or fast follower, just kind of any -- it's tough in our seats to really kind of at this stage understand kind of what it takes to do what you're doing, which doesn't seem easy.
Peter Zaffino: Sure, Mike. Thanks for the question. A few things. One is, we've been working on this for a couple of years and it all started with a foundation of what we did with AIG 200 of having terrific end-to-end process, starting to digitize all of our workflows, getting data quality and data integrity, which enabled us to start to adopt an end-to-end process that was going to enable GenAI to accelerate underwriting and how we were going to be able to assess risks. And so, we began this process, as I said, with pilots. They are no longer pilots. I think that's something I want to be very clear. We're actually going live on a couple of our lines of business. And we continue to evolve with some of the partners that we brought to Investor Day, whether it's Palantir in terms of data ingestion, of accelerating not only the quality of data but the quantity and the speed and being able to utilize large language models to recognize data patterns and recognize risk selection criteria, and our underwriters are enabled to get more information. And so, this has been something that has been highly strategic for us. We're highly committed to it. I don't know where other insurance companies are. My understanding is this is a little bit of a different way of doing it. We think it's the best-in-class way of doing it. I think it was validated by Alex and Dario, and it takes an entire organization to really buy into, the way in which we're going to do this end-to-end and believe that we are going to have the impact that we outlined on Investor Day over time, which is just to decrease cycle time, have higher-quality data and information and empower the underwriters to make decisions.
Mike Zaremski: That's helpful. My quick follow-up is, thanks for the market commentary. I wasn't sure if you gave us North America Commercial pricing metrics. Some of the competitors have talked about kind of seeing a decline in property, which has caused pricing to move down a bit as well. Is that accurate for AIG as well?
Peter Zaffino: Well, I'm going to have Don and Jon comment because I think it's a really important question, Mike. And what I would say on pricing, as always, is that, overall, a lot of times, the index doesn't really tell the story. We know that in North America, in property, we had some headwinds. And we outlined those in my prepared remarks, but still believe that the technical pricing is very strong for very good returns, and we produced those in the quarter on an underlying basis across the world. We've gotten cumulative rate increases that are substantial. You also have to take into account for us, we are a big buyer of reinsurance because we believe in that sort of cost of goods sold approach, which is we have the embedded pricing into our product, and therefore, we know what CAT is going to cost, what risk is going to cost. Our property reinsurance risk-adjusted reductions are greater than what we're seeing on the retail side. I think that's an important point. Our submission count, flight to quality, is really important. And I would also say, and I think that based on my background, I have some credibility and context in this is that when brokers are talking about what's happening in the market, they're talking about the market. And that means they're talking about a lot of insurance companies, a lot of different parts of segmentation, and then, that becomes an index as well. My view is that not all insurance companies are created equal. So, like, if you're leading, if you're setting terms, if you're pricing, you tend to have a little bit of a different outcome. And I think that we've seen that with AIG based on our retention, based on new business, based on what we believe is a flight to quality. So, I'm going to turn it over to Don now, but, again, you have to look at also our casualty was very strong, continues to be very strong after multiple years of very strong rate increases. We saw stronger rate increases in the large account than we did in the mid-market, but all casualty on an excess basis, we saw above loss cost. So, we're seeing some very positive trends in casualty. We see some opportunities for growth. We saw that in Lexington. International is a little bit more orderly, and I'll have Jon highlight that. We saw a little bit of a headwind in pricing in specialty, but that business is performing at an exceptional level. Don, do you want to put it -- I probably answered the question for you, but, like, if maybe you can just give a little bit more context in North America.
Don Bailey: Sure, Peter. Absolutely. So, as you highlighted, Peter, in your commentary, we had some very strong rate in some areas of the North American Commercial segment and definitely had some pressure in other areas. You covered a lot of that in your prepared comments and some of the comments you just offered there. But more line by line, Mike, which I can offer you too, casually, the rate, it continues to be very strong and is in excess of loss trends. We'd also say that it's probably picking up some momentum as well. In excess, we're seeing better rate in the large accounts than we are in the middle market and small. Peter just mentioned that. We've got some data now that tracks that absolutely validates that. Programs in Glatfelter are worth noting as well. Those continue to be rate positive. Again, both program businesses for us, affinity-driven, generally experienced less rate volatility than the rest of our portfolio. We've got highly-engaged distribution partners there, and there are significant growth opportunities in that space. Financial Lines, continues to be down mid-single-digits. So, the good news is we're making an adequate return on the book. Regarding public D&O rate trends, again, if you're looking for some good news, if you look at our quarter, January from a rate standpoint was the worst. March was improved, and we have some early signs that April indicates even more continued improvement. Finally, I'll just say on property, we have had cumulative rate increases over the years. We're seeing some pressure on both retail and wholesale. We'll currently look at this as the year plays out, but we're -- pricing remains above technical, which is great, but we need to see how the rest of the year is going to play out. But overall, we're really pleased with the long tail lines, Peter.
Peter Zaffino: That's great, Don. Thanks. Jon, do you want to make some comments on international rate?
Jon Hancock: Yeah. Well, you and Keith have covered a lot of this. Well, I'll repeat some of what I've said at Investor Day. We have a huge advantage on the diversity of our portfolio products, distribution, geography across the whole of international. So, we have a huge hunting ground and opportunity to divert time, resource and capital into the most attractive areas and away from the others. And that's what we're doing right now and always do, and especially as market dynamics are not the same everywhere at the same time. Now, I'd also say, Peter, you and Keith have both said this, we've got total confidence in the portfolio, the quality, the price, the loss picks, the reserves. We've got that cumulative rate rise you've been talking about with more than price adequate in every portfolio. And you can see that in the results every quarter. And our standards haven't changed, so this market is very orderly for us. Similar trends to Don and different nuances, property rate is still positive, and it's about loss trend. And our retentions are high, and we're growing. I don't think we're giving away margin and we watch that relentlessly. But the combined ratios that we deliver in International Properly -- property, that's some of the best I've seen in my career. So, we start from a very, very strong place. Like with Don here, Financial Lines is under pressure, less pressure than it was, but still under pricing pressure, but that's mainly on D&O in certain markets, not on everything, anywhere. So, our fin lines book has shrunk a bit, and our D&O book has shrunk more. But other parts of the portfolio under much less pressure, so we've got stronger retention there. Casualty varies by region, overall, very rate positive and high retention. And I will call out, and I know you've mentioned Global Specialty and Talbot, there is some rate pressure in some places, but we talked about this on Investor Day and we put some slides up on Investor Day. Those businesses are producing exceptional results quarter in, quarter out, year in, year out. Yes, Marine is still getting really good rate. We're seeing strong growth. The other class, say, there's some pressure, but we're leaders on a lot of that business in the subscription markets in specialty and Talbot. So, we work with clients to achieve sensible and sustainable terms. And where we do follow in that subscription market, much as we won't leave the market down, we won't follow it down there either.
Peter Zaffino: Yeah. That's great, Jon. Thank you very much. Next question?
Operator: Thank you. Our next question comes from Meyer Shields with KBW. Your line is open. Meyer, your line may be muted.
Meyer Shields: Sorry. Am I coming through?
Peter Zaffino: Yes.
Operator: Yes.
Meyer Shields: Okay, great. Sorry about that. Okay. So, Peter, you talked about monitoring the uncertainty associated with tariffs. In the interim, what, I guess, underwriting pricing policy administration efforts need to happen just to reflect that uncertainty as you sort of sign contracts that are going to expose you to this risk over the next 12 months?
Peter Zaffino: Thanks for the question, Meyer. There's a couple of things. One is looking at the inflation factors within lines of business that we think will be impacted, certainly, property, we tried to outline that in my prepared remarks, you could have catastrophe losses that have been modeled that will be significantly more depending on what happens with supply and also density and also sort of size of loss. So, there's so many different variables. I think looking at each of the loss cost inputs is going to be really important. An example, if I could just expand a little bit, which is what you saw really in the international loss ratio this quarter is that we're cautious and we saw the loss ratio published increase a little bit, but none of the underlying loss ratios deteriorated. We saw one side fact was that we, part of AIG Next, had unallocated loss adjustment expense that found its way into the International business that used to sit in Other Operations. But we also looked at our best estimates, no underlying loss ratio deterioration happened in the International portfolio, but we built a little bit of risk margin in International to deal with the uncertainty that could be in front of us with sort of different lines of business. And so, we are cautious. We've done this in the past where we feel very good about loss ratios, very good about margin, but we may put a little bit more margin for lines of business that we think could be potentially impacted. So, this is something that is evolving daily. What lines of business, what part of the world changes quite a bit, and we're going to be on our front foot in terms of being proactive and making sure that we have the appropriate loss cost and margin built into our pricing.
Meyer Shields: Okay, fantastic. That's very helpful. Second question, from a modeling perspective, should the remaining quarters in 2025 have the same impact of expenses moving from other operations to the GI segments?
Peter Zaffino: So, here's how I would look at it. One is like AIG Next was taking a company that was a conglomerate and simplifying the business by getting the overall organization and culture weave together, and we've accomplished that. So that that was excellent. Two is, we gave significant guidance in terms of the expenses we felt we needed to take out of the company to have a lean operating model. We call it lean parent, but it's got to be a lean company. And so, how we look at the overall expenses are really important. And I think we overachieved because the guidance we gave was, by the end of '25, we should be done with AIG Next. And you can see in Other Operations, GOE, we got there. I mean, like, we are in a place where we've accelerated our progress and feel very pleased with it. I would have expected -- it didn't happen, but I would have expected to see the businesses' expense ratios go up as they will absorb the cost, but they did a phenomenal job of taking out expenses and being proactive as more allocations and more cost came into the business that they had a straight line, ability to not really increase expenses. Now, North America benefited more from AIG Next than international did, and because of the number of countries we're in and you're thinking about IT expenses and legal expenses and other expenses to build a proper global company, more of those allocations were went into international than went into North America. So, international would have had two variables that were kind of moving against it, which is what's reflecting this GOE ratio. But I would expect over the full year -- I could have just answered your question with this sentence, but I thought I'd give you some context, is that, I wouldn't straight line it, but I would think that the expenses you saw in the first quarter ought to be what the year will look like in terms of overall GOE expense in the business.
Meyer Shields: Okay. That is perfectly helpful, and I really appreciate that context. Thank you.
Operator: Thank you. Our next question comes from Alex Scott with Barclays. Your line is open.
Alex Scott: Hi, good morning. First one I had is on the broader environment that you described and the uncertainty that it brings. And just does it change the way you'd approach the M&A environment and just the deployment of all this capital that you have available to you?
Peter Zaffino: I don't think it changes anything, Alex. Thanks for the question. We still remain very disciplined, still looking at the medium to long term for acquisitions. Is it additive to AIG? Is it additive to the company that we may acquire? Looking at the different geographies, different product lines. I think -- and we mentioned also like GenAI and investments and scale and being able to move businesses forward. It gives us great opportunities to look across the world and to see if there's going to be an acquisition that would be additive to AIG. Now, yes, we are in a world of uncertainty, but we've done so much hard work over the past three years on the capital structure side that we have low leverage, cash and we have ample, if not, slightly excess capital in our subsidiaries to grow into. And we still have ownership of Corebridge that we can pull for additional liquidity in the event that we see an acquisition. But we're going to be very careful, we'll be very cautious, and it's not something that needs to be done today. And quite frankly, I said this at Investor Day, if we go through a period of time, which I'm not going to define, that we don't see opportunities that we think are additive to AIG and our shareholders, we'll return the capital to shareholders. But right now, I think it's actually -- some of this uncertainty may actually create opportunities.
Alex Scott: Got it. That's helpful. The second question I had for you is just on the mix shift. From the outside, it's difficult at times to model things like mix shifts. And I think the catastrophe budget, in particular, has come down massively and I guess we'll continue to as you do this mix shift in North America Commercial in particular. So, I know you already gave us some help by quantifying some of these things. I think, based on some of the disclosures you gave earlier, we might even be able to back into a cap budget. But I was hoping maybe you could just help us understand that mix shift, how should we think about the impact on underlying versus all-in combined ratio.
Peter Zaffino: First quarter is hard because of property. And it's when we do our catastrophes, it's a net premium written. I think in the past, what's happened is you could even have negative net premium just based on your seeding out more on an NPW basis than what you'd be writing in the quarter. I think that will start to sort of level out. We don't have a lot of catastrophe purchased within the second, third or fourth quarter. I think we're talking about mix of business. Look, the current environment of property in North America, because International is doing just fine, posting tremendous combined ratios, showing some small growth. But if we saw in the first quarter, that would continue, we are going to reduce our gross writings in property and the market will come back to us. I mean, we haven't even entered CAT season yet. So, I'd like to, as I always say, declare about property at the end of the year, not before CAT season. But I think what's reflected really in the reinsurance is just that the AIG in the past would probably have to pay a little bit more because of the quality of data, the quality of the portfolio. We've been moving forward with that over multiple years and I think that's what was reflected in 2025. The mix of business when we reference it, so property remains slight growth on an underlying basis and we're moving more casualty business into the portfolio of the net premium written. Those -- the combined ratios and the loss ratios are higher. So, I think that's really what we're trying to signal is that we had a tremendous growth in Lexington mid-market casualty, but that loss ratio will be higher than what we would expect for property attritional. And so, as that mix changes, you can see the loss ratios reflect that. That's what we're really referencing.
Alex Scott: Got it. Helpful. Thank you.
Peter Zaffino: Thanks.
Operator: Thank you. Our next question comes from Andrew Anderson with Jefferies. Your line is open.
Andrew Anderson: Hey, good morning. Just looking at the underlying results in North America Commercial, they seem pretty strong. Is there an opportunity to take more business net here?
Peter Zaffino: Yes, there is. I don't think we would want to, though, because how we look at Property CAT, it is a global risk appetite volatility that we're willing to take. And I think what I referenced, and when the script comes out, like we should read it again, how low nets we have going forward in North America Property, because we buy occurrence in aggregate and the volatility is massively reduced for AIG over the course of four quarters. And so, we like that volatility reduction. We like it priced into the business. And then on Casualty, I know it was probably a massive eye chart at Investor Day with the amount of reinstatements we have and what does the vertical limits do. We don't buy a lot of proportional reinsurance in North America on Casualty. We buy excess of loss. And I think in this environment with large jury verdicts, vertical exposures, I don't think it's prudent to take any more net there. And so, I think we feel really comfortable with the reinsurance structure that we have in North America. And as you pointed out, the combined ratios have improved dramatically and really like the core fundamentals of the business the way it is today.
Andrew Anderson: Thank you. And then just on North America Commercial, ex comp, ex Financial Lines pricing, 4% RPC. I guess that's on a gross basis, perhaps a little bit better net. I guess, where I'm going with this is, I would think that's below loss trend, but perhaps with terms and conditions and maybe some mix shift, it sounds like in your commentary you're not really thinking of underlying loss ratio deterioration here.
Peter Zaffino: No, I'm not. I mean, as I said, it's really being driven more by property. Property was a big negative on the weighted average. But on the other lines of business, again, we're going to watch financial lines. Don had some really good comments on that. Casualties above loss trend. Gladfelter, as we look across the portfolio, it was really just property that was below loss trend and we'll see how that plays out, but are confident that it's above our technical and also that it's not sustainable to have these type of rate decreases over a long period of time. So, we'd end up pulling back in the event that it stayed that way. But submission count is great. I think there's a lot of opportunities. Retention is good and we still think that the property line for us is going to perform very strong. And just one other data point is that in the first quarter, our International Property is as big as our North America Property. And so, I just want to make sure that we remember that, overall, we have opportunities -- if North America becomes aggressive, we have a lot of points of entry in property and the risk-adjusted returns in International are just fantastic and we'll continue to grow there. But...
Andrew Anderson: Thank you.
Peter Zaffino: Thanks. We have one more question.
Operator: Our next question comes from Brian Meredith with UBS. Your line is open.
Brian Meredith: Yeah. Thanks for fitting me in. Peter, just curious on North American Commercial growth, just wanted to unpack it a little bit. Is it possible to get maybe what gross written premiums growth was there? Just try to understand the impact of the ceded reinsurance on the growth rate. Just kind of thinking about how sustainable is that growth in the near term that you saw in North America Commercial?
Peter Zaffino: Yeah. So, Brian, the first quarter was benefited from some reinsurance on property. And I think that the growth would be largely reflecting the net, absent property that I mentioned. So, the casualty for Lexington is very close to what it would be on the net. When we had identified -- when we talked about Glatfelter, Glatfelter benefited a little bit from some of the reinsurance, but still had a very strong growth, as did our program business. Don outlined programs at great length at Investor Day. We're doing less programs. We've taken the best practices of Glatfelter and built it out. But I would say those largely, the gross and the nets, were not too far off. It was just really property that benefited. What I just wanted to signal is that you see sort of the rate environment and why you're growing in property, well, we really aren't growing on the gross. As a matter of fact, in Lexington Property, in the gross we contracted, and retail gross slight increase, but the net was really more reflective of the reinsurance on property. Do you want to say something, Don?
Don Bailey: I would just validate that, yeah, the underlying portfolio is strong, it's double-digits on a net basis.
Brian Meredith: Great. So, nothing unusual in the first quarter? I mean, this is good solid growth you're seeing is sustainable here for at least in the near term, unless, of course, some other property competitor or something else comes up?
Peter Zaffino: Yeah. I think, look, you probably won't see the same property effect in the future because we're not going to have as much reinsurance. So, I think those nets will come down. But the rest of the portfolio should reflect, as Don said, really strong new business, strong retention. We'll watch each line of business and make sure we're growing where we want to grow, but still think there's growth opportunities.
Brian Meredith: Got you. And then, one last one, Peter. Any updated thoughts on what casualty loss trend is looking like here? A couple of positive developments, I think in Georgia and some areas as far as legislation goes. Maybe thoughts on that?
Peter Zaffino: We'll watch it, Brian. We have not adjusted any of our loss costs and inflation factors on casualty, and we'll probably look at it in the sort of mid-year, but so far, we're keeping it where it was.
Brian Meredith: Perfect. Thank you.
Peter Zaffino: Okay. Thanks everybody for joining us today. Really appreciate it. Have a great day and great weekend.
Operator: Thank you for your participation. This does conclude the program and you may now disconnect. Everyone, have a great day.